Operator: Good day, ladies and gentlemen and welcome to the Curtiss-Wright Second Quarter 2017 Financial Results Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. I would like to introduce your host for today's conference, Jim Ryan, Senior Director of Investor Relations. You may begin.
Jim Ryan: Thank you, Glenda, and good morning, everyone. Welcome to Curtiss-Wright's second quarter 2017 earnings conference call. Joining me on the call today are Dave Adams, our Chairman and Chief Executive Officer; and Glenn Tynan, our Vice President and Chief Financial Officer. Our call today is being webcast and the press release, as well as a copy of today's financial presentation are available for download through the Investor Relations section of our company website at www.curtisswright.com. A replay of this call also can be found on the website. Please note, today's discussion will include certain projections and statements that are forward-looking as defined in the Private Securities Litigation Reform Act of 1995. These statements are based on management's current expectations and are not guarantees of future performance. We detailed those risks and uncertainties associated with our forward-looking statements in our public filings with the SEC. In addition, certain non-GAAP financial measures will be discussed on the call today. The reconciliation is available in the earnings release and at the end of this presentation. Please note, any references to organic growth exclude the effects of foreign currency translation, acquisitions, and divestitures unless otherwise noted. Now I’d like to turn the call over to Dave to get things started. Dave?
Dave Adams: Thanks, Jim. Good morning, everyone. For our agenda today, I’ll begin with the key highlights for the second quarter of 2017, followed by Glenn who will provide a more thorough review of our quarterly financial performance along with updates to our 2017 guidance. Then I’ll return to wrap up our prepared remarks before we move onto Q&A. We are very pleased with our second quarter results. EPS was $1.13 for the quarter which was well ahead of expectations, and we continue to see the positive momentum that began in the first quarter. We achieved solid growth in sales, operating income and operating margin in each of our three segments which is a tremendous testament to the hard work of our team. We produced robust sales growth of 7%, 5% organically led by a strong performance on the AP1000 program. In addition, several of our end markets that have been challenged for some time appear to be turning the corner which is an encouraging sign. Further to reiterate what we've been consistently communicating once we get some tailwind in those challenged market combined with the leaner cost structure now in place, we would expect to generate strong profitability. Our second quarter performance clearly validates that view. We produced a 22% improvement in operating income and 190 basis point margin improvements despite purchase accounting costs associated with the TTC acquisition. We also produced a solid cash flow performance that generated a free cash flow conversion of approximately 145%. Based on the strong first half of the year, we've increased our full year 2017 guidance for sales, operating income, operating margin, and EPS. Included in these expectations is an improved outlook for TTC as we now anticipate that they will be accretive to operating income and EPS for the full year 2017, better than prior expectations to be breakeven. Overall, we remain confident that Curtiss-Wright will deliver another solid performance this year. Now I'd like to turn the call over to Glenn to provide a more thorough review of our second quarter performance and updates to our 2017 financial outlook. Glenn?
Glenn Tynan: Thank you, Dave and good morning everyone. I will begin with a review of our second quarter end market sales. Overall we experienced a 4% increase in sales to our defense market and a 8% increase in sales to our commercial markets. In the defense markets, our results primarily reflect the contribution from TTC for sales of flight test equipment on the F-35 program within the aerospace defense market. Elsewhere, in aerospace defense improved demand from embedded computing products supporting ISR programs including fighter jets and UAVs was partially offset by lower sales on the Seahawk Helicopter Program. In ground defense higher sales of turret drive stabilization systems to international customers were more than offset by lower domestic sales. In naval defense higher CVN-80 aircraft carrier revenues were more than offset by reduced production on Virginia-class submarines due to timing and lower CVN-79 revenues as this program advances towards completion. Moving on to the commercial markets, I will begin in commercial aerospace where sales were down slightly principally due to lower sales of actuation [in wide body] [ph] which more than offset higher sales on narrow-bodies. In power generation strong sales growth of 20% was primarily driven by timing of production on the 2015 China Direct AP1000 orders. We also experienced higher revenues on the 2008 domestic order as production advances towards contract completion expected later this year. In addition, our results reflect improved demand in the nuclear aftermarket business due to the seasonally high spring outages. And finally in the general industrial market, sales increased 6% overall continuing the recent positive trend [led by] [ph] better than expected performance in industrial vehicle products. This was principally due to higher on-highway sales of products and Class A trucks, as well as higher off-highway sales on medium duty commercial vehicles particularly in China. In addition sales of industrial valves principally serving the oil and gas market demonstrated modest sequential improvement compared with the first quarter and were flat year-over-year. Next I will discuss the key drivers of our second quarter 2017 operating performance where we produced higher profitability in all three segments. Starting with the commercial and industrial segment, operating income was up 12% and operating margin was up 160 basis points to 15%. This performance reflects the benefit of our margin improvement initiatives, most notably for facility consolidations in 2016, as well as further actions taken in 2017. In the defense segment, operating income increased 14% and operating margin was up 50 basis points to 16.8%, despite a 300 basis point margin dilution from TTC. As shown on the right side of the slide excluding the TTC dilution, operating margin for this segment would have been 19.8% or 350 basis point improvement from the prior year. This improved performance reflects higher profitability on our embedded computing products and the benefit of our ongoing margin improvement initiatives. In the power segment, our second quarter results were strong as operating income improved 54% and operating margin was up 410 basis points to 16.6%. Those improvements were principally driven by the timing of production on the China Direct AP1000 contract, as well as higher profitability in our nuclear aftermarket business driven by the benefits in margin improvement actions taken in 2016 and 2017. In summary, overall second quarter operating income increased 22% which led to a 190 basis point improvement in margin to 14.7%. Further as shown on the right side of the slide excluding the 50 basis point margin dilution from acquisitions, overall operating margin would have been 15.2% up 240 basis points from the prior year. Next, to our 2017 end market sales guidance. In the defense markets, overall sales are still expected to grow between 7% and 9%. In the commercial market space upon improved demand in several businesses, we have raised our general industrial market sales guidance. As a result, we now expect sales in this market to grow between 2% and 4%, an improvement from our prior guidance of the sales decline of 1% to 3%. In addition, we now expect total commercial sales to grow between 1% and 3%, while total Curtiss-Wright overall sales were expected to grow between 4% and 6%. And finally in the appendix of our presentation you will find the 2017 end market sales waterfall chart. Continuing with our 2017 outlook, we are raising our full year sales, operating income, operating margin and EPS guidance. Starting with the commercial industrial segment and based upon the increase to our end market guidance, we now expect the segment sales to be flat to up 2%, an improvement from the previous guidance of flat to down 2%. We've also increased operating income guidance in this segment by $3 million, while operating margin remains at 14.3% to 14.5%. Next in the defense segment, we increased operating income guidance by $3 million to reflect lower amortization estimates related to the TTC acquisition. Operating margin is now expected to range from 19.6% to 19.7% reflecting a 60 basis point improvement over our previous guidance. Looking ahead to the second half of 2017 we expect TTC to be accretive to both the defense segment and overall CW margins and contribute positively to our EPS. On a full year basis, we now project TTC to be accretive to both operating income and EPS. Next in power segment, while we produced a strong first half performance, our guidance remains unchanged at this time pending the outcome of Westinghouse bankruptcy. We also increased our guidance for corporate cost by $1 million due primarily to higher year-to-date FX transactional losses. As a result of these updates, total Curtiss-Wright operating income is now expected to grow 4% to 7% while operating margin is now grow 10 to 20 basis points to new range of 14.7% to 14.8% reflecting a $5 million increase in operating income and a 10 basis point improvement in margin compared with the prior range. We also made some slight modifications to our guidance for interest expense based on the current run rate, as well as taxes based on the higher earnings. In summary based on all of the aforementioned guidance changes, we have increased diluted earnings per share by $0.05 to new range of $4.45 to $4.55 which represents EPS growth of 6% to 8% over 2016 results. For your EPS modeling purposes, we anticipate the third quarter to be slightly better than the second quarter followed by a typically strong fourth quarter. Next the free cash flow. Second quarter free cash flow was $73 million generating free cash flow conversion of approximately 145%. This performance keeps us on track for solid free cash flow in 2017 ranging from $260 million to $280 million with an expected conversion rate of approximately 134%. Both of our free cash flow metrics remain in line with our long-term guidance which includes maintaining a minimum free cash flow of $250 million and then average free cash flow conversion of at least 25%. Now I’d like to turn the call back over to Dave to conclude our prepared remarks. Dave?
Dave Adams: Thanks Glenn. Before we wrap and we move onto Q&A, I wanted to provide a few brief remarks on the AP1000 program. I’ll begin with an update on the Westinghouse bankruptcy. In short, the overall financial impact is not expected to be material to Curtiss-Wright and we believe our current exposure ranges from $0 million to $3 million. Regarding our 2008 U.S. contract, we have delivered 12 RCPs thus far, with three remaining for the VC Summer plant in South Carolina and one remaining for the Vogtle plant in Georgia. We expect to complete final shipment of these RCPs before the end of 2017. As a reminder, revenues on this contract are recognized based on percentage of completion accounting and to-date we have recognized approximately 97% of revenue, margin and cash on the U.S. contract. Moving on to China, the testing activities continue with the Sanmen as they advance towards startup. Fuel load is anticipated to begin in the coming months and China's current expectations are for the Sanmen plant to startup by the end of 2017, closely followed by Haiyang plant in early 2018. We look forward to the successful commercial operation of these plants as this should open the door for additional China interest in new AP1000 plants and Curtiss-Wright RCPs. Regarding our 2015 China Direct contract, we continue to ramp up on the production of our RCPs. We expect strong revenue and margin contribution from this order over the next couple of years. As a reminder, RCP production is expected to peak in 2019. I also want to reiterate that for the 2015 contract, our pumps are being sold directly to the Chinese. As a results, we do not believe the Westinghouse bankruptcy will have an impact on our ability to secure new RCP orders from China, the largest potential AP1000 market in the world. Regarding future AP1000 order for markets outside of China such as India and the U.K., we remain in a wait-and-see mode at this time although there are some encouraging signs. A particular interest is the outcome from a recent meeting between President Trump and Indian Prime Minister Modi which has renewed interest for new nuclear power plant development in India. According to several media reports, construction would be handled by an Indian firm for six AP1000 nuclear reactors. Should this move forward, if could represent an opportunity for 24 Curtiss-Wright designed RCPs. In summary, Curtiss-Wright is well positioned to deliver solid results in 2017 and we're growing increasingly optimistic about our trajectory for 2018. We now expect sales growth in both our defense and commercial markets in 2017 although we remain cautiously optimistic about a few of those industrial markets for the remainder of the year. Further as we progress through the second half of the year, you will begin to see TTC's solid contributions to our profitability and earnings as we move past the purchase accounting charges. We remain committed to maintaining a balanced capital allocation strategy between operational requirements including increased investment in R&D, acquisitions, and returning capital to our shareholders. On that note, concurrent with earnings release issued last night, we declared a 15% increase in our quarterly dividend. We look forward to continuing to deliver on our strategy and producing solid financial results to drive long-term value for our stockholders. At this time, I'd like to open up today's conference call for questions.
Operator: [Operator Instructions] And our first question comes from the line of Michael Ciarmoli from SunTrust. Your line is now open.
Michael Ciarmoli: Good morning guys, thanks for taking my questions here and nice quarter. Dave, just to maybe go further into the AP1000 updates, you kind of mentioned at the end there, with India, there's been some positive press out there maybe involving Dusan industries looking to maybe pick up the construction. It seems they are progressing in more advanced talks on India. Can you maybe elaborate, it seems like once Westinghouse emerges from bankruptcy, that program and those projects could be a go. Can you provide anymore color?
Dave Adams: Well, I’ll say, we’ve been reading the same things. And we saw that article on Dusan and that was really encouraging and was partly the reason for the wording in the prepared remarks. And when you read that, I mean, we knew things were happening over there. We’ve been talking to Westinghouse for a while. Certainly on the indemnification side, from the legal aspect, we did know that there was in country interest in building the construction side of the nuclear power plant. So, everything you said is exactly the way we're feeling that it could lead to - it’s certainly an encouragement to us, and it could lead something that - as to then when, that's anybody’s guess at this point. We don't know, but as we've stated several years ago, when Neil and I and the rest of us lived through the waiting process for China, we were all extremely elated when it finally came, and we will be once the Indian order finally comes. But we're encouraged by it. I wish I could give you some more timeline to it, but I really can’t.
Michael Ciarmoli: And what about U.K. with Moorside? It sounds like that's another one progressing, I think KEPCO Power is kind of - they’ve come in, they’re talking about their own reactor technology. Do you see any movement one way or the other positive or negative on the U.K. side?
Dave Adams: We haven’t seen anything since KEPCO's been in there with the dialogue. We do know obviously that Westinghouse has been looking for a construction firm alongside with the Moorside folks. And we do know that there was, and has been - remains a very high interest in the AP1000. We were the only ones that were designated by the regulatory committee in the U.K. as being approved for that. So, a lot is at play in that regard, and I think when you're dealing with generation three technology like AP1000 is the latest and greatest from a safety perspective, I would certainly hope that the AP1000 has a leg up on any other kind of design. But we’re reading the same stuff that there's some interest and NuGen is basically the owner in there. I think a lot is still up in the air relative to Toshiba who is the main owner of NuGen and Consortium over there. So I think that a lot of balls are up in the air in that regard. But still we feel positive about it. I know that the contacts that we've had with Westinghouse feels the same way, and we’re hopeful.
Michael Ciarmoli: Last question for me and I'll get out of the way here. The power generation obviously off to a strong start, I think you're up 13% year-to-date. You kind of qualified that there's no real financial impact from Westinghouse. But then you kind of said Westinghouse gives you some caution. I mean, if we’re going to get power down to your 3% to 5% growth, that sort of implies you're going to be down second half versus first half, and down on a year-over-year basis as well. Is there just conservatism in there, or was there just pull forward on the AP1000? Does aftermarket, I know was seasonally strong, does that slow? Can you just give us the puts and takes with that guidance for the rest of the year?
Dave Adams: In the power segment, it was up, it was mostly due to sub timing with this half of the year. What we are trying to say in the script is there is a potential for some upside but with the [Westinghouse] [ph] bankruptcy hanging out there which should be resolved in the third quarter, we felt it was prudent not to update the guidance at this point and just wait and see what happens in August. SCANA is supposed to announce by August 10. We're not sure if that’s going to happen or not. The second half of the year, it's really the asset that was driving down the revenues, obviously, the China Direct is still doing well but the aftermarket is going to be down. In this nuclear aftermarket, we’re down the second half mainly because the first half included the spring out season and also the AP1000 [Indiscernible] program is coming to an end. So they’re going to be down in the second half of the year. So there has nothing to do with the China Direct contract, that's for sure and also [Indiscernible] are down in the second half of this year as well.
Operator: And our next question comes from the line of Ryan Cassil from Seaport Global. Your line is now open.
Ryan Cassil: You guys talked a bit, and I am sorry if I missed it, but you increased the guidance for the commercial industrial. I think you called out vehicles but I was wondering if you could just kind of run through some of the categories there and maybe in particular talk about what you're seeing in the severe service valve side.
Dave Adams: I’ll talk from a high level first, then I’ll let Glenn get into some details. Overall, we’re seeing pretty much across the board some resurgence that we had expected along the way. And as we’ve been talking about, there’s been a pickup in overseas China, for example, ETCs with some of our businesses located over there, and that is due to the regulatory filing of the issuance of, what is it, 04 EPA emissions regulations, and those are finally being instituted over in China and India. So that’s picking up for us. The Class 8 has picked up. The mid-size has all along been doing fairly well for us. So that’s steady-eddy. The only one that has not really rebounded much is the Ag side but everything else, medical mobility, all of them have been on the uptick, and seeing increased orders and so forth. So what we had said in the second quarter or in the beginning right after the first quarter, we said we'll wait and see how things are looking. And certainly, second quarter has panned up pretty well for us. So that's why you see some guidance change there. And then from the valve side, we continue to see strength as compared to where we've been in the past. We were down 25% in '16, and then we were saying we were going to be down 5% this year. Now we have changed to flat to down 5. So that trajectory is moving upward, and we're positive about that momentum, feel very good about it and the visibility continues to be - it’s not robust order intake, but it’s order intake. And that's great, that’s exactly what we were hoping that we would see it would be a slow rebound upward for us. And that's pretty much from a high level - explains on where we’re at. Glenn, you have anything more detail?
Glenn Tynan: No, it’s pretty much the same. The guidance range was based on the first half performance, but it’s all the same thing. It is the vehicles, it’s on-highway Class 8, off-highway medium mostly in China. And the medical has been up very well in the first half as well. So, all three of those are the basis for our guidance range.
Ryan Cassil: And on the valve business, are you feeling any change in competitive pressures, pricing dynamics, or you're finding it fairly easy to pass through the raw material inflation?
Dave Adams: No real change from the last couple of quarters. There are people out there nipping at our heels. I mean, everybody is nipping at everybody's heels with a smaller pie as it were and so that hasn’t really changed. Nothing that has come to my attention and so we continue to deal with that. But we have some very nice strong proprietary slices out there that we deal with. So we have that protection. We also have low cost manufacturing sites around the globe that help us as well, and we still produce great margins in that area. So I'd say that while the order like I said the order intake has been fairly steady in some cases it's fairly decent, it's just smaller orders not huge projects and that's okay, you've just have to learn to deal with the scale at that point. But I wouldn't characterize it Ryan as any sort of a significant change in terms of a competitive pressure. Raw material wise may haven't heard of anything there that's really affecting us. So it appears to be in abundant to that and at moderate prices. So I don't really see any dramatic changes from what we’ve seen in the last couple quarters other than its more positive from the perspective of orders.
Ryan Cassil: And then moving to the power side, there has been some bailouts over the last 18 months in the U.S. and perhaps the back half is kind of already baked here. But how are you guys feeling about demand shaping up for 2018?
Dave Adams: Well, we still stick to our guns with what we said at our Investor Day in the aftermarket side because they are receiving orders, and their backlog is up but these are multiyear order so that’s going to turn into revenues for them in 2018 so we expect that improvement to happen. 2018 is another year in the China Direct with increase revenues you guys have seen our graph on that we pretty stand on course with that. So it looks good for 2018 basically frankly we’re hoping for that continuing the orders in the aftermarket though.
Operator: And our next question comes from the line of Kristine Liwag from Bank of America/Merrill Lynch. Your line is now open.
Kristine Liwag: I have a two part question on commercial aerospace so first would be a clarification one is the weakness in commercial aerospace OE specifically from actuators on the 747 and 787 programs. Just because you had two different information there one for your press release and for your prepared remarks, I just want to make sure it’s the same thing and/or if not if other moving parts?
Dave Adams: No, I think you’re right it is the 747 and 787 yes.
Kristine Liwag: And then the second part from my understanding there hasn’t been a change in production rates for those aircraft, can you discuss what’s driving that weakness is it the timing thing, an inventory correction thing or has there been some sort of market share shift we should be aware of?
Dave Adams: It must be a timing thing, I can’t - we’re at different times in the cycle and production so that’s all I think of really.
Kristine Liwag: And maybe a separate topic. Can you provide more on color on how we should think about the sea margins going forward and what the key drivers of change would be?
Dave Adams: The margins going forward are going to be similar to what you're going to see in the second half of this year. They are going to be accretive to the overall defense margins without going into - we don’t go into specific margins by product - business unit but again it’s going to be accretive to the defense segment margins.
Kristine Liwag: I guess my question is more on - beyond this year I mean how high can TTC margins go with you as the owner and how much upside can we see from here?
Dave Adams: I find a point that beyond 2017, if you look - when you see the second half of this year or our defense segment that would be - you’ll see the impact of TTC and it will be similar to that going forward at least into next year I can't go beyond that.
Operator: [Operator Instructions] And our next question comes from the line of George Godfrey from C. L. King. Your line is now open.
George Godfrey: Nice quarter, you raised the revenue EPS not margin but kept the free cash flow unchanged. So my first question is, what gets that to be raised or looking at another way what keeps from being raised as well here?
Dave Adams: Well it's going to be - we exceed our targets for working capital reduction would be one, number two would be if we receive advance payments that we didn't expect to occur in this year that kind of things - that does happen we negotiate different terms those will be the two because right now we're driving to a working capital target which gets us closer to top quartile in our peer group. And if we were exceed that that would definitely have a positive impact. And the other would be again advance payments.
George Godfrey: And then my second question is as you talked about the potential for an India or U.K. contract in AP1000 program and the second China deal went direct. If you were to look at third China deal the U.K. or India, what would be the more likely to come first or what deal do you think has the most incremental momentum right now?
Dave Adams: I would say just thinking out loud, it would be probably the China order would be my first guess because we’ve been saying all along that once these plants get powered up which we're hearing that they will be by the end of this year Sanmen 1 certainly and Haiyang 1 first of next year that these excitement is there, they definitely got an appetite that’s built up continues and the providers or energy providers, operators in that country want to do something and they have a five-year plan, they have a longer term plan and if they wait much longer they won't make the five-year and 10-year and 20-year plans on energy production. So we know that it’s there, we know the interest is there, they’re waiting for confirmation that this AP1000 plant works does what says is going to and we believe that it will. So once that happens, we believe that will be renewed interest that will spur the regulatory agencies in country in China in particular to go ahead and release the energy providers to go ahead and start acquiring more and breaking ground. Now I think that you’ve got the more side in India that are hanging out there could happen anytime, but I think just given the scale and size and magnitude of the type construction requirements and so forth those it’s big and it takes a long time to go through those and China has already got it through them. Just to me on surface - it looks like they’ve already cut the path they’ll go next and then one of the other two will pop up after that.
Operator: Thank you. And our next question comes from the line of Myles Walton from Deutsche Bank. Your line is now open.
Louis Raffetto: It's actually Louis Raffetto for Myles. So just - most of my question have been answered, but I wanted to circle back I know you briefly covered the topic about capital deployments so I know you sort of give us a overview just want to update on the sort of M&A and you’re keeping the repo pretty steady so just any update you can provide there?
Dave Adams: Yes, we are keeping it pretty steady as we have in years past and we've got on the repo side we've got authorization for 200 million. We have 100 million into - that’s 52 million for coverage of dilution on it can be 5.1. And then we've got 100 million for opportunistic that’s out there. And we had taken advantage of that a little bit as we saw the share price become a pretty good deal to us in both of that. We’ll continue in that regard, keep looking at and as we did last year and the year before we said we look at it towards the end of the year seeing how things were going from the acquisitive side. And so we’re not quite at that point yet towards the end of this quarter will be looking at that side again. And from the acquisitions we’ll continue to look at several and they don’t all make the cut and like I have said before the cut line is pretty high. And so after we dig into some of these if they don't meet up with full expectations and or at least come close to full expectations then they fall out. And so that’s just typical, that's the nature of that beast and you can’t predict they’re going to come up or when or not. But we do have opportunities and I’m not just say add one additional piece of color to it that if it ties in with what Kristine asked about TTC and then it ties in the M&A side. I was out at TTC last week and I spent a day there with the folks and it - just what happens in something like this as we get a great company that then I know lot there and other folks go out and we talk to him about what well how to roll this further and faster. How can we get more entrenched into this marketplace to make a one plus one equal three or four. And so that’s one of the benefits of the M&A side they have ideas on how they can grow that business. And so it’s sort of an exponential opportunity from an affect perspective. So while we already had some targets in mind that we chased on a regular basis, they have come in with some additional ones. And so that is really a positive opportunity for us and covering the waterfront there on the capital deployment we saw that we increased the dividend that’s part of the giveback. And while it wasn't a whole lot, it was something demonstrable. We feel very strongly about where were going with his corporation and so we’ll do that sort of thing and then capitalizing some of our facilities for ongoing need is that third element. And we do look at those and we have done some of that - some restructuring and so forth that has yielded significant savings in terms of ongoing and margin improvement initiatives. So we do like to stick with a balanced approach and so far so good we’re happy - I am happy with the way we’re going on the M&A front and we do have opportunities that are meaningful and hopefully if they do make that final cut then we can execute on them.
Louis Raffetto: And just Glenn you sort of cover this just making sure, it sounds like you guys originally guide to 35% of EPS in the first half came in at 40% of the sort of the new high end of the new range. So is that sort of a little better of course industrial versus original expectations than some of this production timing power is that sort of the main driver that change?
Glenn Tynan: Yes, we raised our guidance based on the first half actually in the industrial vehicles. The performance in Q2 in the defense segment was purely timing in the second half of the year. And in the power segment it’s mostly timing with the second half of the year. So it was really pull-through in the commercial and industrial segment but I’ll say that from an EPS standpoint it was a little bit of anomaly for us when we started the year because now if we look at where we’re at it’s pretty similar where we always were which is a lower EPS in the first quarter. Second and third quarter is about the same and the fourth quarter being the highest. So, it's not out of the norm for us so, but it’s come in better than we expected and no question about it.
Operator: Thank you. And at this time I am showing no further questions over the phone lines. I would like to turn the call back over to David Adams, Chairman and CEO for closing remarks.
Dave Adams: Thank you all for joining us today. We look forward to speaking with you again during our third quarter 2017 earnings call. Have a great day. Bye, bye
Operator: Ladies and gentlemen thank you for your participation in today's conference. This concludes the program and you may now disconnect. Everyone have a great day.